Operator: Good day and thank you for standing by. Welcome to the OGE Energy Corp's Second Quarter 2022 Earnings Call. [Operator Instructions]. I would now like to hand the conference over to your speaker today, Jason Bailey, Director of Investor Relations. Please go ahead.
Jason Bailey: Thank you, Hope, and good morning, everyone, and welcome to OGE Energy Corp's Second Quarter 2022 Earnings Call. With me today, I have Sean Trauschke, our Chairman, President and CEO; and Bryan Buckler, our CFO. In terms of the call today, we will first hear from Sean, followed by an explanation from Bryan of financial results. And finally, as always, we will answer your questions. I'd like to remind you that this conference is being webcast and you may follow along at oge.com. In addition, the conference call and accompanying slides will be archived following the call on that same website. Before we begin the presentation, I'd like to direct your attention to the Safe Harbor statement regarding forward-looking statements. This is an SEC requirement for financial statements and simply states that we cannot guarantee forward-looking financial results, but this is our best estimate to date. I'll now turn the call over to Sean for his opening remarks. Sean?
Robert Trauschke: Thank you, Jason. Good morning, everyone. Thank you for joining us. Certainly great to be with you this morning. Earlier this morning, we reported second quarter utility earnings of $0.50 per share, which represents an increase of $0.08 per share over the same period last year. Overall, we reported consolidated earnings of $0.36 per share, which includes $0.05 loss from the holding company and the $0.09 loss from natural gas midstream operations. The second quarter was very productive and included the following. Through the end of July, we've exited 77% of our energy transfer investment at an average sales price of $11.09 per unit, which represents a 33% premium to where the units were when we closed the transaction last December. Interestingly, we've already received more net proceeds than the value of our investment on the transaction closed date and we haven't even completed the exit. We're pleased with the pace of our progress and the value that we've captured for our shareholders. Bryan will go into more details shortly. Regarding the Oklahoma rate review. At the end of June, we reached an uncontested settlement to rate review pending before the Oklahoma Corporation Commission and the ALJ has recommended approval of the settlement. We await a final order from the Commission, which will likely be this quarter. Moving to winter storm Yuri. In early May, the Oklahoma Supreme Court authorized the sale of bonds, the state of Oklahoma issued the bonds and we received the proceeds two weeks ago. In Arkansas we had a productive quarter where we implemented new rates on April 1 associated with our fourth formula rate filings. We continue to work through a five-year extension of the formula rate plan in Arkansas. Also we filed a request to recover approximately 80 million of Yuri-related costs over a 10 year period at a weighted average cost of capital. This is consistent with other approvals by the Arkansas commission. Turning to operations. Temperatures over the last several weeks have been extremely high across the service area. With 18 days above 100 degrees since June 1. Our generation fleet has performed well supplying the grid with electricity for our customers and across the SPP. Beyond our generation capacity, that grid is serving customers. It's not straying and unlike other areas of the country, we have not cautioned the public of potential blackouts and called on the public to take conservation measures. The system was designed, was built and was maintained for days like these and our customers experienced the benefits of our generation investments and enhancements to the grid. Our investments in technology and equipment deliver improved reliability, resiliency, communication and security to energize their homes, businesses and lives as we maintain affordability for our customers. Additionally, S&Ps annual report on rates was announced in the second quarter, and OGE Energy was listed as having the second lowest rates in the nation, a reflection of our continued commitment to affordability for our customers as we invest in the grid and technology to improve reliability, resiliency and security. We have billing programs like guaranteed flat bill and average monthly bill which allow customers to manage their budget and cash flow more easily. So to quickly recap, in the second quarter we exited more than three quarters of our energy transfer investment at a significant premium. We filed an uncontested settlement in Oklahoma rate review, we received bond proceeds from Oklahoma securitization and winter storm your expenses. In Arkansas we implemented new rates and filed a request to recover winter storm Yuri-related costs. And we continue to provide safe and reliable stable electric service to nearly 900,000 customers during extremely hot summer. We're accomplishing what we set out to do what we told you, we would do. And a great momentum for the remainder of the year. As we continue our strong operational performance. We reaffirm our utility earnings guidance for the year and expect to be in the top half of our utility earnings guidance range given warmer than normal weather. I'm really incredibly proud of every single employee, each of whom is solely focused on safely ensuring our customers have the life enhancing and life sustaining electricity they need to live their lives. I use that word safely for emphasis as I'm extremely proud of the level of safety excellence we exhibit here at the company. Turning to future operations, we continue the needed investment in the grid, utilizing automation and self-healing technologies to improve reliability and resiliency. The work we're undertaking on our substations, distribution circuits and other portions of our grid will provide great benefit to our customers in terms of reliability and resiliency. Today, we've seen results from enhanced circuits following storms, where customer outages were eliminated, or reduced to the tunes of hundreds of thousands of minutes saved. With a growing service area, increasing reserve margin requirements, we recognized our future capacity requirements are changing. We have three active RFPs for long-term generation in the market. And we'll evaluate all the proposals before making decisions with regard to how we will meet the capacity needs in our service area. We'll provide an update once we review the results from all the RFPs and at the same time, we have other capacity initiatives underway. We continue to offer programs that help customers manage their energy usage in their bill. Through smart hours our demand response program more than 100,000 customers are shifting their energy usage and helping achieve 90 megawatts and demand reduction this year alone. Our energy efficiency programs continue to provide strong results for all customers. These programs provide energy savings and demand reduction and enable customers to better manage their energy use. In the current filing years, we expect to achieve savings of more than 100 megawatts in demand and nearly 500,000 megawatt hours of energy savings, helping us to efficiently operate the generation fleet as we grow our customer base and maintain affordability. In times of economic uncertainty, these programs offer customers incredible value for home improvement, with no out of pocket costs, as well as tools to manage and understand their energy usage. We filed these extensions for programs like this every three years with the next filing in 2024. Our load forecast for 2022 is outpacing 2021 and expect growth above 3.5% this year. Our long-term load forecast remains strong as our service area continues to grow. Bryan will talk about load here shortly. But our business and economic development efforts continue to pay dividends for our communities. The first half of '22, the 12 new projects secured and announced by our economic and business development partnerships will help add more than 1775 new jobs across Oklahoma and Arkansas. Businesses large and small continue to grow. From Mercy Hospital in Fort Smith to no man's land Beef Jerky in Enid, Oklahoma. The affordability of our rates is central to our sustainable business model, as the cost of electricity is a significant factor that companies consider when deciding an expansion or relocation. Before I hand the call over to Bryan, I just want to take a moment to touch on a few important points. First, the economies across our service area are thriving. Unemployment rates are better than the national average business and economic development is active and our communities are strong and continuing to grow stronger. Our sustainable business model is designed to grow revenues by attracting new customers and managing expenses by utilizing technology. This helps us maintain some of the most affordable rates in the nation, which in turn attracts more customers, continuing the virtuous cycle and sustaining the momentum for our shareholders, employees and our customers. So thank you, and I'll now turn the call over to Bryan. Bryan?
Bryan Buckler: All right. Thank you, Sean. Thank you, Jason and good morning everyone. Starting with second quarter results on slide six, we reported consolidated earnings of $0.36 per share, compared to $0.56 per share in the same period in 2021. OG&E, the electric utility contributed earnings of $0.50 per share in this Second quarter compared to $0.42 per share in the same period in 2021. The increase was primarily driven by higher sales volumes and increased recoveries of capital investments. These favorable drivers were partially offset by expected higher depreciation on a growing asset base. ET was flagged this quarter compared to the same period in 2021, reflecting our employees continued focus on cost management. Our natural gas midstream segment experienced a loss of $0.09 per share in the second quarter, compared to earnings of $0.16 per share in the same period in 2021. The decrease in net income was primarily due to mark-to-market adjustments on our energy transfer units, coupled with the elimination of equity and earnings of Enable. On a year-to-date basis, however, we've seen significant appreciation in the fair value of ET units, as I'll discuss in a moment. Other operations including our holding company experienced a loss of $0.05 per share compared to a loss of $0.02 per share in the same period in 2021. The increase in net loss was primarily due to the partial reversal of the consolidating tax benefit recorded in the first quarter of the year. Turning to our economic indicators and load results on Slide seven, customer numbers grew 1.1% over the past 12 months, and in line with our expectations, reflecting the attractiveness of our service territory in Oklahoma and Arkansas. We continue to see our load rates draw businesses to our service territory in 2022. As of June 30, we have added 60 megawatts for the year from data mining companies alone, and those connections began to accelerate in June. We are encouraged by how this customer subgroup is methodically working through supply chain constraints. And we still expect the overall commercial customer group to grow in excess of 10% for the year. Company-wide for all customer groups based on year-to-date results and updated projections, we now expect to see total retail load growth of around 3.5% to 4.25% in 2022. Zooming out when you look at the 2.4% load growth we experienced in 2021 along with the 3.5% to 4.25% we are forecasting for 2022. Our confidence is growing that 2023 will be another year of load growth in excess of the historical level of 1%. Let's move to Slide eight, where we are reaffirming our guidance issued in February. Given the favorable weather and solid operational execution by our employees in the first half of the year, we expect results to be in the top half of our 2022 utility got its range of $1.87 to $1.97 per share. Taking a longer term view, our business fundamentals are strong with growing economies in Oklahoma and Arkansas and constructive regulation in the States. Furthermore, our company has prudently managed its balance sheet, putting us in a position to invest in the generation and T&D investments that our customers and communities need and keeping us on the path to 5% to 7% long term EPS growth. Let's move to Slide nine for an update on our 2022 financing plan. Sean provided you with an update on the exit of our energy transfer position. We've been consistent with our prospects that the shares in $1 cost averaging matter and that approach has proved prudent. As you can see in the chart, we are projecting total pre-tax proceeds of over $1 billion, which would be nearly 400 million more than the fair value as of the February 2021 announcement date. This is real value creation that will accrete to our shareholders in the form of a permanent improvement in our balance sheet strength and/or levels of holding company. Turning to recovery of the winter storm Yuri costs incurred in February 2021, the state of Oklahoma issued a securitization bonds in July, the proceeds of 750 million have been received and will be used to retire the associated debt that was incurred at the time of the winter storm event. Before we take your questions, let me make two points. First, we are very well positioned with respect to interest rate risk. Through prudent management of our debt maturity ladder, we have only approximately 100 million of maturing debt over the next five years to be refinanced. Furthermore, we have very low levels of short-term floating rate debt, thanks to the proceeds received from the energy transfer cells. Secondly, our balance sheet and credit metrics are strong, positioning us to deploy capital investments in our five-year plan without the need to issue equity. This balance sheet will also be there for our customers to support emerging investments that will be required to continue to provide quality service to our thriving communities in Oklahoma and Arkansas. With that, we'll open the line for your questions.
Operator: Thank you. [Operator Instructions] Our first question comes from Shahriar Pourreza with Guggenheim Partners.
Constantine Lednev: Good morning Sean and team. It's actually Constantine here for Shah. Congrats on a great quarter.
Robert Trauschke: Hey, thank you Constantine. Good to hear from you. Hope all is well.
Constantine Lednev: My first question on the progress addressing generation needs for OG&E. There's a few RFPs that are out there, including existing resources. And given some of the near-term kind of generation needs, and now that you've monetized the majority of the ET shares and you have some dry powder. Any thoughts on accelerating the investment in new or existing resources? And how interchangeable do you anticipate the RFPs to be just in light of the changing economics and supply chain conditions?
Robert Trauschke: Yes, I think that's certainly a factor Constantine. I mean, that's why we want to get all the RFPs in and kind of stack them up and look at them all in terms of availability and costs. Obviously, mentioned in my remarks, the increasing reserve margin requirements at the SPP, we're certainly watching that. We're certainly watching whether the IRA gets approved and passed that can have an impact on the RFP results and the benefit to our customers. So, we want to see the results. We're going to stack all these up, and we're going to go from there. I don't think the balance sheet per se is the driver, I think was the driver is just the availability and the economics coming out of these RFPs.
Constantine Lednev: Excellent. And just a quick follow up, load has obviously been very, very strong trend in 2Q and 22 in general, both weather normalized and in absolute terms. And while customer accounts kind of continued around that 1%. Do you anticipate, like actual C&I usage to continue growing in excess of customer accounts, especially as we're kind of looking at the oilfield segment and starting to see some activity picking up? And would that cause you to track a little bit ahead of kind of what's the assumptions that are contemplated for 23?
Robert Trauschke: Bryan, you want to tackle that?
Bryan Buckler: Sure. Sure. Perhaps Constantine load results have been strong. And for this year, as expected, I would say, on a commercial front, we do anticipate being around that kind of double-digit area for growth this year. As I mentioned in my comments, we have really strong momentum in that sector and believe there's a good chance that will carry over into 2023. As you look to oilfield, you can see -- you may recall that we had about 2% year-over-year growth in the first quarter in oilfield sector on a year-to-date basis, that's bumped up to 3.7%. So you're seeing some improved volumes and activities in that sector and versus 2019, we're actually still below our 2019 levels in oil field. So that gives you a sense that there's still room to grow just from pre-pandemic levels. So certainly we expect that momentum in oilfield to continue. The industrial sector was strong in the second quarter for us from fertilizing companies and our steel manufacturer. So those two sectors have been strong for us and overall, we're starting to get more and more confidence that 2023 could be another year of above 1% load growth.
Constantine Lednev: That's a great quarter. Thanks for taking questions.
Robert Trauschke: Thanks, Constantine.
Bryan Buckler: Thanks, Constantine.
Operator: Thank you for your question. Please hold while we load the next Q&A. Our next question comes from Julien Dumoulin-Smith with Bank of America.
Cody Kiechle: Hey, good morning. It's actually Cody on for Julian, thanks for taking my questions.
Robert Trauschke: Good morning, Cody.
Bryan Buckler: Good morning, Cody.
Cody Kiechle: So just following up on Constantine's question around load, your expectation on 2022 growth looks like that's down at the top end. Can you talk through some of the drivers there? Maybe crypto is stepping down and just as we look forward to 2023 and this kind of gets to your point in the previous question, but just wondering if you can share a little bit more about your C&I, customer sentiment on the current economic backdrop and in any conversations that you've had recently.
Robert Trauschke: Yes. Bryan, you want to tackle the first part of that? And then I'll tackle the second part of that.
Bryan Buckler: Yes, absolutely. So Cody you are right, we were looking at a broader range of potential load growth for the year up 3.5% to 5%. The delta between that and where we're currently forecasting is around the data mining companies in particular, as I mentioned in my comments, they had some supply chain issues getting some of their mining equipment on a timely basis. So that's coming in a little slower than we thought. We did see a strong pickup towards the end of first quarter and here in July as far as connections. And we had built very little margin from those customers into our financial plan this year. So it's not really having much of an impact to this year. And in fact, as I spoke to earlier, given the recent momentum, we think this gives us some nice tail winds going into 2023.
Robert Trauschke: In Cody, I would just in terms of longer term, as I speak to people around the state, the economic development activity, I've never experienced the pipeline or the backlog that's out there. And some of the potential projects that are coming in, that are in early stages. So I think this is something, this commercial segment and just looking at the starts and looking at certain site preparations and things like that. This is something we think is going to continue.
Cody Kiechle: Great. Thanks. I'm curious if you can share any updated thoughts on the solar RFP that's outstanding. And I think you're previously pointing to new generation not being available until at least 2025. But with a tariff waiver, are you seeing resources available sooner?
Robert Trauschke: Yes. We haven't seen a material change in that to this extent, is going to affect our RFP. But again, we're going to look at all three of the RFPs and stack them all up together and proceed down that path in terms of what's available to meet our capacity requirements. So but no, I haven't seen a material change in that.
Cody Kiechle: Okay. And one last one, if I can just squeeze it in quickly, as it relates to the EPAs potential, stricter NOx regulations, how are you thinking about accelerated retirement versus retrofitting your plans and [indiscernible] you factored into analyzing the results of the ongoing RFPs?
Robert Trauschke: Absolutely. And I think that's -- we've been through Casper once before. And once we review that, we'll wait to see if it is actually filed. As you remember the last time, they went through a lot of legal hoops and delays and stages and things like that. We'll see. There's a bunch of different alternatives to be able to address that rule. You mentioned retirements, but I think your conclusion there's spot on. That's -- we will certainly see that and factor that into our analysis of all the RFPs as well.
Cody Kiechle: Awesome. That's all I had. Very helpful. Thanks for your time.
Robert Trauschke: Cody, take care.
Operator: Thank you for your question. Please stand by. Our next question comes from Insoo Kim with Goldman Sachs.
Insoo Kim: Hey, guys. Good morning. I hope you guys are cool.
Robert Trauschke: Yes. So far. We have a great electricity provider here. So we're going to be plenty cool.
Insoo Kim: That’s right. Maybe too cold, right, when you're inside. Just going back to the RFP process and the three RFPs that are out there, can you just give a little bit more of a color on the next set of timelines? And ultimately, whether it's '23 or beyond? What type of -- when we could see that, the purchase or the capital spent?
Robert Trauschke: Yes. So, the bid on the second two RFPs. The bids are due in August and September. We're going to evaluate all those, stack them up. Certainly, we'll have the benefit of -- if anything comes out of the Inflation Recovery Act, we'll see how that impacts things. The previous question talked about Casper, we'll certainly be cognizant of that. But we're going to go through all those. And so the other point that is, I think is relevant here is just in terms of availability, when these could be slotted in and fill some of these gaps. And so, availability or timing is going to be a key component. We're going to lay all that out. And then when we finished that, will certainly communicate to you and make any requisite filings at the various commissions based on those results. But I don't want to -- I mean, I would expect to have an idea of what we're going to do and recommendation by year end. But we'll see.
Insoo Kim: Got it. And then, whatever capital you end up spending as part of these RFPs. Is it so -- is it a bit of -- it’s too early to think about the mix of financing for those incremental capital?
Robert Trauschke: Yes. We certainly haven't layered those in. And I think it all goes back to that timing point I was making before in terms of availability. And but yes, we'll certainly when we make our decision, there will be an adjustment in terms of how we categorize the capital, and certainly how we finance that.
Insoo Kim: Got it. And relating to that balance sheet strength, as you get these better than expected cash flows from the ET sale, your balance sheet was already one of the better ones in the industry, with [indiscernible] in the high teens. Obviously, becoming a more fully regulated utility over the next 12, 18 months, let's say the credit thresholds may become even looser. I'm sure I know, you've gotten this question before, but as a bunch of capacity continues to remain strong. Besides the organic upside utility investments that exist, what are the thoughts do you have to utilize this capacity, and maybe it is just even more utility CapEx that we're not really counting above and beyond the IRP and RPS items?
Robert Trauschke: Yes. I think I appreciate the question there. And I think we've not commented on strategic transactions, I think that's a distraction. But I don't think there's any wavering in our commitment to grow the company. We have a lot of investment opportunities in this company. And we've talked about that for many, many years. And I think what is unique here is, we have investment opportunities that we're going to be able to spread out for many, many years. This is not a three-year short-term, peak in terms of the investment opportunities. We've got a lot of opportunities to invest in our communities. And we also like the idea about this affordability, I mean, for last four years, we've either been the lowest or the second lowest rates in the country. And that's paying dividends in terms of recruiting businesses. So I am very confident and very bullish on the organic growth here at the company and that's what we're focused on.
Insoo Kim: Got it. Just one more if I could, maybe for Bryan, in terms of the guidance of the year in the upper half of the utility range. You have the $0.05 drive from the Hoko and other for the year, how much of the Hoko other maybe drag on EPS is embedded in that range, if any?
Bryan Buckler: Yes. Hi. And so yes, our guidance is based on utility only. So when we talked about the $1.87 to $1.97, it's the utility guidance. We did, at the beginning of the year talk about the holding company being a $0.01 to $0.02 drag. That number is still roughly in the range, interest rates been a little higher, perhaps that looks more like $0.03 for the full year. But as we talked about, the ET unit sales have gone very well. And that exit has progressed, perhaps even faster than we first anticipated. So our holding company debt levels have gone somewhere close to zero. And so that drag will go away for a bit. And then ultimately will longer term or you'll see it pick back up as we grow the company. But think of that guidance range as the utility and then a very minimal drag from the holding company for the rest of this year and certainly the first half of next.
Insoo Kim: Got it. That's all for me. Thanks, guys.
Bryan Buckler: All right. Thank you have a great day, Insoo.
Operator: [Operator Instructions] Our next question comes from Brandon Lee with Mizuho Group.
Brandon Lee: Hey, god morning, Sean. Good morning, Bryan. Most of my questions have been asked I just had a quick one. Can you just discuss whether you're seeing any inflationary pressures or supply chain issues in your capital spending this year? And whether you anticipate any in the near future?
Robert Trauschke: Yes, I think it's, we are. I mean, we certainly are seeing inflation in terms of some of our labor markets, some of our commodity markets, some of our materials and supplies. But what I would say is, it's our job and it's our mission to mitigate this as much as possible. And I think, Brandon the great thing about the opportunity set that we have around investment is there are not any big singular projects or bets out there. So we're able to adapt and move investments around to really help mitigate the inflationary pressures. But I think it's our job and our mission to do the best we can to mitigate it, but I think it's real, and it's out there.
Brandon Lee: Great. That's all I had. Thanks for taking my question.
Robert Trauschke: Thank you, Brandon. Take care.
Operator: Our final question comes from Gregg Orrill with UBS.
Gregg Orrill: What is it that would accelerate the timing of the RFP capacity coming online? What are those things that would do that?
Robert Trauschke: I think it's availability. Right. I mean, if we talked before was some of the constraints coming out of our solar RFP. That wasn't going to be as timely as we'd hoped. So I think I keep coming back to it's really about availability and how we're going to be able to layer all these in over a number of years.
Gregg Orrill: Okay, thanks.
Robert Trauschke: All right. Thank you, Gregg.
Bryan Buckler: See you, Gregg. Thank you.
Operator: At this time, I would like to turn it back to Jason Bailey for closing remarks.
Jason Bailey: Yes, thank you for joining us on the call today and I hope you guys have a safe day.
Operator: Thank you for your participation in today's conference. This does conclude the program. You may now disconnect.